Operator: Good day, ladies and gentlemen. Thank you for standing by. Welcome to Alibaba Group's June Quarter 2025 Results Conference Call. [Operator Instructions] I would now like to turn the call over to Lydia Lu, Head of Investor Relations of Alibaba Group. Please go ahead.
Lydia Lu: Good day, everyone. Welcome to Alibaba Group's June Quarter 2025 Earnings Conference Call. With us today are Joe Tsai, Chairman; Eddie Wu, Chief Executive Officer; Toby Xu, Chief Financial Officer; Jiang Fan, Chief Executive Officer of Alibaba E- commerce Business Group. This call is also being webcast from the IR section of our corporate website. A replay of the call will be available on our website later today. Now I will quickly cover the safe harbor. Today's discussions may contain forward-looking statements, particularly statements about our business and financial results that are subject to risks and uncertainties which could cause actual results to differ materially from those contained in the forward-looking statements. Please refer to the safe harbor statements that appear in our press release and investor presentation provided today. Please note that certain financial measures that we use on this call are expressed on a non-GAAP basis. Our GAAP results and reconciliations of GAAP to non-GAAP measures can be found in our earnings press release. And now I will turn the call over to Eddie.
Yongming Wu: [Interpreted] Hello, everybody, and welcome to this quarter's earnings call. This quarter, we delivered solid growth. Excluding revenue from Sun Art and Intime, our total revenue on a like-for-like basis grew 10% year-over-year. Revenue growth of our core businesses remained strong. Customer management revenue from our China e-commerce business rose 10% year-over-year. Cloud Intelligence Group revenue growth accelerated to 26% year-over-year with AI-related product revenue maintaining triple-digit growth for the eighth consecutive quarter. Revenue from AIDC grew by 19% year-over-year. In AI + Cloud, the accelerated development of AI applications and increasing AI product adoption by customers drove a 26% year-over-year revenue increase from external customers. During the quarter, AI-related revenue accounted for over 20% of revenue from external customers as AI demand continued to grow rapidly. We're also seeing AI applications driving great growth momentum of traditional products, including compute and storage. SAP and Alibaba entered a strategic partnership focused on cloud and AI. As SAP's global cloud computing partner, Alibaba Cloud will support SAP customers to run and manage their core software systems on Alibaba's platform. Leveraging our Q1 models, SAP will also provide AI transformation services for its enterprise customers. This partnership signifies the recognition of our cloud infrastructure and AI capabilities by the global leading enterprises in the SAP ecosystem. We've continued to advance the capabilities of our AI foundation model. Since July, Alibaba has released upgraded Qwen3, including a nonthinking model, reasoning model and AI coding model, which are recognized as global top performers in their respective categories. Notably, our Qwen3 coder model has rapidly increased Qwen's user adoption in overseas markets. We also open sourced several models such as the video generation model Wan2.2 and the text to image model Qwen-Image. By continuously upgrading our open source models, we're empowering our customers to develop their own AI applications. Meanwhile, Alibaba's own AI native applications continue to advance. Amap has undertaken a comprehensive AI transformation with the launch of Amap 2025, the world's first AI native location-based application. The upgrade brings spatial intelligence into dynamic real-world scenarios and Amap is well positioned to become a new gateway for future lifestyle services. DingTalk has also completed its latest AI upgrade, creating the world's first agent-driven work feeds to explore next-generation workplace application paradigms. On our Taobao platform, we see immense AI-powered opportunities emerging, such as AI search and AI advertising platform. In consumption, we undertook a strategic combination of Taobao and Tmall Group, Ele.me and Fliggy into Alibaba China E- commerce Group. This organizational change creates a comprehensive consumption platform and upgrade our consumer experience. We have consolidated supply chains, user bases and membership benefits across our businesses and launched a tiered loyalty program that connects Ele.me, Fliggy and AMAP. The newly integrated benefits enhance our members' experience across a full spectrum of consumption scenarios. Since May, our investments in quick commerce have rapidly surpassed key milestones and created synergies. In August, monthly active consumers on our quick commerce business are approaching 300 million, contributing to a 25% increase in monthly active consumers on the Taobao app. Daily order volume of our China E-commerce Group continued to achieve new records. Looking ahead, Alibaba Group has 2 historic opportunities, to build a technology platform centered on AI + Cloud and to create a comprehensive shopping and daily life services consumption platform. We will invest at scale to capture the opportunities. This also marks a new entrepreneurial chapter for the company after 26 years. In line with this, in February, we announced an investment of RMB 380 billion over the next 3 years to build our cloud and AI infrastructure. In July, we announced plans to invest RMB 50 billion in consumption. The transformative impact of AI on all industries, combined with a deep integration of AI and cloud will present the most significant opportunity in the technology sector over the next decade. For Alibaba, we have the world's fourth largest in Asia's leading cloud infrastructure along with full stack technology capabilities spanning AI computing power, AI cloud platforms, AI models and open source ecosystem and AI applications. This quarter, our CapEx investment in AI and cloud infrastructure reached RMB 38.6 billion. Over the past 4 quarters, we have cumulatively invested over RMB 100 billion in AI infrastructure and AI product R&D. Our investments in AI have begun to yield tangible results. This is evidenced by Alibaba Cloud's returned to rapid growth driven by AI demand and our AI-enhanced experiences across consumer and enterprise-facing scenarios. So we're seeing an increasingly clear path for AI to drive Alibaba's robust growth. We're also well positioned in China, the world's largest e-commerce market and the most promising service consumption market. China has a well-developed e-commerce infrastructure, high population density and strong demand for service consumption providing a solid foundation for the integration of our quick commerce business and the Taobao app. We believe this convergence will fulfill consumer needs for a one-stop consumption experience and meet merchants' desire to serve consumers across multiple scenarios. It will enhance commerce efficiency and pave the way for an all-in-one AI assistant for consumption. Alibaba's strategic positioning in quick Commerce has ambitions beyond competing in a single category. We aim to meet the one-stop consumption needs of our 1 billion consumers and shape business models of a comprehensive consumption platform in the AI era. In consumption, our long-term goal is to create a comprehensive consumption platform catering to our 1 billion consumers full spectrum of shopping and daily life needs, we aim to offer the best experience to the largest consumer base with the highest purchase frequency ultimately leading in a RMB 30 trillion addressable market. Over the next 3 years, Alibaba will embark on a new journey with an entrepreneurial mindset to drive robust business growth through sustained investments centered on the strategic areas of consumption and AI + Cloud. We're confident that these investments in the core business will sharpen our competitive edge and fuel long-term growth.
Hong Xu: Thank you, Eddie. As Eddie said, we are embarking on a new chapter of entrepreneurship by investing in 2 strategic pillars of consumption in the AI + Cloud. These represent the 2 biggest long-term opportunities we are systematically pursuing. To reflect this sharpened focus, we have also adjusted our financial reporting accordingly. Starting from this quarter, we undertook a strategic combination of Taobao and Tmall Group, Ele.me and Fliggy into Alibaba China E-commerce Group, transforming our value proposition into a comprehensive consumption platform. This is not simply an organizational change. It's a major strategic investment aimed at redefining the consumer experience and unlock long-term value across our ecosystem. This quarter marked a meaningful progress on this front as we deepen investment in quick commerce and increasingly essential use case for capturing new demand and shaping future consumer experience. Our quick commerce business achieved key milestones while contributing to the 25% year-over-year growth in the Taobao app monthly active consumers in the first 3 weeks of August. In tandem, we are building the AI + Cloud infrastructure to support the next wave of technological transformation, positioning Alibaba as a key enabler of enterprise AI adoption across industries. Our cloud business delivered accelerated growth as segment revenue and revenue from external customers both grew 26%, driven by surge in AI demand and increased customer adoption of public cloud services to support AI workloads. At the same time, we remain focused on improving operating efficiency and profitability. In the quarter, AIDC delivered solid progress approaching breakeven while sustaining strong growth momentum. Now let's look at the financial results on a consolidated basis. Total revenue was RMB 247.7 billion. Excluding revenue from Sun Art and Intime, revenue on a like-for-like basis would have grown by 10% year-over-year. The adjusted EBITDA decreased 14%, primarily due to our strategic focus on scaling quick commerce to capture new consumption patterns and drive future monetization opportunities, partly offset by margin improvements across several businesses including AIDC and other units that made continued progress in operating efficiency. Our GAAP net income increased 76%, primarily due to the mark-to-market changes from our equity investments and the gain arising from the disposal of local consumer service business of Trendyol. Operating cash flow was RMB 20.7 billion. Free cash flow was an outflow of RMB 18.8 billion. This was mainly attributed to our accelerated pace on expanding AI + Cloud infrastructure as CapEx ramped up to approximately RMB 39 billion and investment in Taobao Instant Commerce backed by nearly USD 50 billion in net cash, a healthy and low leveraged balance sheet and our strong access to capital markets we have ample flexibility to support long-term strategic investments while maintaining financial resilience. This quarter, we bought back approximately 7 million ADSs for a total of USD 815 million under our share repurchase program. We remain committed to shareholders' return through a mix of share buybacks, dividends and investment for growth, and we will continue to adjust the pace in form of returns based on market conditions and strategic priorities. Now let's look at the segment results, starting with Alibaba China E-commerce Group. Revenue from Alibaba China E-commerce Group was RMB 140.1 billion, an increase of 10%. Customer management revenue of our e-commerce business increased by 10%, primarily driven by the improvement of take rate. We had a successful June 18 shopping festival, which delivered strong consumer growth on the Taobao app as we implemented user-friendly promotion mechanisms and increase the support for merchants that provide high-quality products and customer services. The number of 88VIP members, our high-spending consumers group continued to increase by double digits year-over-year, surpassing 53 million. Revenue from our quick commerce business increased 12%, mainly due to order growth as a result of rollout of Taobao Instant Commerce at the end of April. Since its launch, we have seen encouraging business progress reflecting strong user adoption and growing order momentum. In the meantime, we have expanded our product offerings and front warehouse coverage for nonfood categories as part of our efforts to improve user experience and enhance operating efficiency. We executed our plan to generate synergies between quick commerce and the rest of Alibaba's ecosystem by leveraging supply chain, users and membership benefits across our businesses. In August, Taobao app launched a tiered loyalty program that connects Alibaba Group's China e-commerce, quick commerce and travel platforms. The adjusted EBITDA from Alibaba China e-commerce group decreased by 21%. Excluding the investments in our quick commerce business, our Alibaba China e-commerce group EBITDA -- has grown year-over-year. Revenue from AIDC grew 19% primarily driven by strong performance in cross-border businesses. AIDC's adjusted EBITDA loss narrowed significantly approaching breakeven. As we continue to improve our operating efficiency, the UE of choice and the Trendyol's International business improved significantly on a sequential basis. Looking ahead, we are committed to enhancing operating and investment efficiency. As a result, our profitability will continue to improve. Cloud segment revenue grew by 26%, primarily driven by public cloud revenue growth. AI revenue continued its triple-digit growth as AI demand continues to grow rapidly, we are also seeing increasing demand of compute, storage and other public cloud services to support AI adoption. The adjusted EBITA margin remained relatively stable year-over-year at 8.8%. We will continue to invest in customer growth and the technological innovation, including AI products and services to increase cloud adoption for AI and maintain our market leadership. As previously mentioned, we have updated our segment reporting to better reflect our focus. We simplified the financial reporting structure by reclassifying Cainiao, Amap and Hujing DME into all others. All other segment revenue decreased by 28%, primarily due to the disposal of Sun Art and Intime. All other adjusted EBITDA was a loss of RMB 1.4 billion, primarily due to the increased investment in technology businesses, partly offset by the improved results of businesses, including Freshippo. The all other segment comprises a set of innovative initiatives including several strategic AI-driven technology infrastructure and businesses. While we continue to drive efficiency improvements across business lines, we are also investing in AI opportunities to maintain our competitive edge and to drive future growth. In closing, this quarter marked a meaningful progress in our strategic investment on 2 pillars that will power Alibaba's next phase of growth. Our comprehensive consumption platform and AI + Cloud infrastructure. In commerce, the integration of multiple businesses under Alibaba China E-commerce Group is driving stronger synergy across supply chains, user networks and membership programs, enabling us to better serve evolving consumer needs and capture long-term growth potential. In cloud, revenue growth accelerated on the back of robust AI-driven demand. As we expand infrastructure capacity, we are helping more customers deploy and the scale their AI workloads. We are investing with clarity and the conviction on the 2 historical opportunities ahead, AI and domestic consumption. Our commitment of RMB 380 billion technology investment reflects our long- term ambition to build infrastructure essential for AI proliferation, while our focused expansion in quick commerce is designed to unlock new demand and long-term consumption potential in China. With strong balance sheet, operating cash flow and business momentum, we are well positioned to support these investments, drive sustainable growth and strengthen core capabilities that would define Alibaba's future. Thank you. That's the end of our prepared remarks. We can open up for Q&A.
Lydia Lu: Hi, everyone. For today's call, you are welcome to ask questions in Chinese or English. A third-party translator will provide consecutive interpretation for the Q&A session. Please note that the translation is for convenience purpose only. In the case of any discrepancy, our management statement in the original language will prevail. If you are unable to hear the Chinese translation, bilingual transcripts of this call will be available on our website within 1 week after the end of the meeting. [Foreign Language] Operator, please start Q&A session. Thank you.
Operator: Your first question comes from Alicia Yap at Citigroup.
Alicia Yap: Congrats on your solid cloud revenue growth. I have a question related to your recent step-up investment in the quick commerce and also the food delivery business. So can management share with us what is your vision for the quick commerce growth opportunity in China? And what is your investment plan for the quick commerce? How long will the heavy investment last? And how will the investment bring the long-term value for overall Taobao and your China E-commerce platform. Can management share a bit of the latest progress of [indiscernible] which is the quick commerce business. What are the synergies you have realized so far? And how should we expect the investment to impact our GMV and also the CMR growth in the coming quarters?
Yongming Wu: [Foreign Language] [Interpreted] Thanks for your question. Let me begin by reviewing some of the progress we've made so far in our Instant Commerce business and then share our expectations for Instant Commerce going forward. Since we launched Taobao Instant Commerce 4 months ago, we believe that we've been highly successful in engaging users and merchants, building logistics capabilities and marketing. From July onwards, in particular, the growth of order volume, user scale, merchant supplies and delivery capacity have all exceeded expectations. In fact, if you just look at the food delivery to home category, we are now already the market leader in terms of orders. Let me share some figures. First, our peak daily order volume reached 120 million, and weekly average daily orders reached 80 million in August. Second, user scale. Quick commerce monthly active consumers, MAC, reached 300 million in August, representing 200% growth compared to before April. Third, merchant supply. The rapid growth in business scale has also attracted new merchants to join Taobao Instant Commerce. High- quality merchant supply, in particular, has reached industry-leading levels. Fourth, fulfillment capacity. Daily active riders have exceeded 2 million. That is a 3x increase from April. And that also means that we've created over 1 million new jobs. As I stated last quarter, the first-stage goals for our quick commerce business were to scale up user growth and build consumer mind share. With these developments over the past few months, we have already achieved our first stage goals beyond our own expectations. Next, let me talk about the synergies between quick commerce and our e-commerce business. First, quick commerce is a significant driver of overall user scale and engagement. In August, quick commerce drove 20% growth in the Taobao app's DAUs. The high- frequency pattern of quick commerce has also contributed to a significant increase in average purchase days per user. With the increase in user engagement, we are seeing a clear trend of quick commerce driving incremental income for our e-commerce business. Specifically, first, the growth in traffic drives advertising and CMR growth. Second, as a result of heightened user engagement, incremental new user acquisition and customer reengagement, we can reduce sales and marketing expenses. We expect this trend to continue and to expand in our ongoing operations and are confident that it will drive significant incremental income on the e-commerce side. Next, let me share my views on the operating efficiency and unit economics, UE of quick commerce because I know these are aspects to which you pay special attention. First, when talking about operating efficiency, you cannot disregard scale. In the past, our scale was just 1/3 of our peers. And in many cities and provinces, our market share was even lower than 20%. With such a huge gap in market share, it's meaningless to talk about efficiency. Now, however, our quick Commerce business is leading in scale, and we can quickly improve our operating efficiency. Our peers have achieved excellent performance in the food delivery industry, especially in terms of efficiency, and we are now actively working to narrow that gap. Our scope to improve efficiency is substantial. Let's look at it in the short term and then in the long term. In the short term, our losses will narrow primarily driven by the following: number one is optimization of customer mix. We have scaled up marketing expenses for user growth nationwide over the past 4 months and acquired a large number of new customers. New user acquisition requires substantial upfront investment but we excel at user retention. And as the proportion of repeat customers increases, UE will improve. Number two is optimization of order mix. In the next stage, we aim to increase the proportion of high-value orders, including high- value meal orders and increased the proportion of nonfood category orders. UE will, therefore, improve as a result of higher average order value, AOV. And the third is optimization of fulfillment efficiency and costs. In the initial phase, as order volume ramped up by 4x, the #1 priority for us as a platform was to ensure the user experience. In July and August, therefore, we made an additional large investment to address the severe short-term lack of delivery capacity. Going forward, as order scale stabilizes, our logistics costs will decline significantly contributing to further UE improvement. So in the short term, we expect that while continuing to maintain investment in consumer benefit through logistics and subsidy efficiency improvements and order structure optimization, our UE losses can be reduced by half. In the long term, as order density increases, there is considerable scope to optimize our logistics costs compared to 4 months ago. In addition, there is also a considerable scope to improve our targeted engagement of off-line merchants. In my view, scale is the primary factor in achieving efficiency. With our newly achieved scale and market share, we are confident that we can achieve industry-leading efficiency in the long term. At the same time, we will not look at the stand-alone profitability of quick commerce delivery. If combined with the incremental benefits to our e-commerce business, we believe quick commerce will bring sustained positive economic value to the overall platform while maintaining price competitiveness. Next, let me talk about development of the nonfood category. In quick commerce, we divide nonfood deliveries into 2 parts. One is the original hyperlocal quick commerce e-commerce model, and the other is e-commerce -- a hybrid model, quick Commerce plus e- commerce. On the hyperlocal side, we have leveraged our abundant supplies and strong supply chain to develop a lightening warehouse model. Over the past few months, supply in these warehouses has rapidly expanded. We now have over 50,000 lightning warehouses with order growth of over 360% year-on-year, 25% of the supply in these lightning warehouses comes from supply chains within the Alibaba ecosystem. Secondly, we have fulfillment capacity from front warehouses that have been developed by Freshippo for its fresh groceries category. Following Freshippo's supply connection into Taobao Instant Commerce, order volume has already exceeded 2 million, up by 70% year-on-year. In terms of the hybrid model, Tmall Supermarket is upgrading from a traditional B2C fulfillment model to a quick commerce model. This maintains its price competitiveness, while achieving much faster shipping speeds. We are also actively onboarding Tmall brands off-line stores into Taobao Instant Commerce, enabling unified online-offline O2O operations for Tmall brands. We expect up to 1 million branded offline stores to join Taobao Instant Commerce over time. The integration of Tmall and Taobao Instant Commerce will open up new growth drivers for brands and offer consumers a new shopping experience. Overall, we expect Taobao Instant commerce and quick commerce to add RMB 1 trillion in annualized incremental GMV to the platform within the next 3 years. We also believe the food delivery markets shift from a single dominant player to multi-platform competition gives merchants and consumers more choice, which benefits the industry long term. Throughout this transition, we as a platform, are committing real financial resources and investing to create over 1 million direct jobs, drive industry transformation and stimulate consumption and the broader economy. Thank you.
Operator: Your next question comes from Thomas Chong at Jefferies.
Thomas Chong: Congratulations on a solid result. My question is about Alibaba Cloud. We have seen our cloud business is doing very well and accelerate to 26% year-on-year this quarter. My first question is, how should we think about this acceleration? Should we expect acceleration continues for coming quarters as well as our expectation for FY '26? Because when I look into our acceleration and look into overseas peers, how should we think about the pace of monetization versus the U.S.? And on the other hand, we also see our cloud margin reaching 8.8%. How should we think about the margin outlook into the future? And on that front, given our acceleration is very impressive. Can we talk about how different industry sectors actually performed in this quarter? I remember last quarter, we talked about multiple sectors, including the traditional sectors, also embrace the cloud opportunities. Are we actually seeing something different or making a lot more progress? For this quarter? And on that CapEx, how should we think about our CapEx outlook given we have seen our CapEx is -- realized during this quarter.
Yongming Wu: [Foreign Language] [Interpreted] Okay. Thank you very much for those questions. And in noting them down, I saw there were quite a few questions. But let me start with the first one regarding the outlook for our growth rate. So we certainly see a very clear trend among our customers in terms of utilizing AI products. And they're developing AI products, and this represents a very strong demand. First of all, as AI model capabilities continue to strengthen, more and more new AI applications are being developed and applied into more and more new use cases. At the same time, many vendors that had original use cases where they were running workloads on traditional CPUs are now beginning to leverage large models and using AI to run those original functions. So for all these reasons, demand is very strong and continues to grow robustly. In recent quarters, we've seen fast growth in inference workloads as well as continued growth in training and in inferencing. Over the past few quarters, apart from that rapid growth in inferencing, we've also observed some new industry trends on the training side. Apart from the large fundamental models that continue to be upgraded in the market. There's also a lot of training that is taking place and creating new opportunities. For example, automobile vendors, for example, companies in the education sector, or companies in the multimedia application space. They all have training requirements. They're leveraging their own proprietary data to train proprietary models to meet their demands. And that, in turn, is driving higher utilization of our overall AI infrastructure. So this is a very strong boost to infrastructure use. At the same time, we also see new opportunities around training, whereby companies are leveraging our open source models, and they have a lot of training demands in doing so. For example, we mentioned education companies as well as companies in the health care sector and companies that are creating development tools, platform companies. So we see a lot of excellent opportunities with these proprietary models where they're leveraging their own data and their own to meet their own use cases by performing post training or fine-tuning of our Q1 models. And on that basis, they're making use of our Alibaba cloud computing platform. And at the same time, on that basis, we can also begin gradually to develop commercialized services, post training services for our open source models. Your other question had to do with gross margin and benchmarking against what we see overseas. So perhaps I can share with you my judgment overall as to the Chinese cloud market. And what I see as the trend is for there to be a higher level of market concentration in China as compared to what we see in overseas markets because developers here require full stock comprehensive capabilities for what they're developing, and we have that full stack with complete capabilities across traditional cloud computing, compute storage, AI compute or AI models. And of course, we have a very developer-friendly open ecosystem as well. So our goal is to maintain a growth rate above the average rate of market growth to, at the same time, increase our market share and in terms of our strategic objectives, the priority is on growing the number of users expanding into new use cases and not in the short term on increasing gross margin. So turning now to the question about our CapEx, capital expenditures on AI. We will continue to implement our 3-year plan to invest RMB 380 billion in cloud and AI. However, based on the supply chain situation in different quarters, there may be a quarter-to-quarter fluctuation. At the same time, based on changes in policies around AI chips and supply, we have backup plans in place to work with various different partners and to be able to respond to different situations in respect of supply chains. So I'm confident that no matter what changes may crop up in the industry we will continue as planned and as expected, to move forward with that planned CapEx investment of RMB 380 billion.
Operator: Your next question comes from Kenneth Fong at UBS.
Kenneth Fong: Given the cross-selling that we have seen already achieved in our food delivery part, do we plan to ramp up the in-store part of local service i.e., [indiscernible] because we noticed that Ele.me [coverage] in-store coupons have been stepping up promotion in certain regions. So how should we think about any further investment or expand in this in-store part of business in the coming months on top of the food delivery?
Yongming Wu: [Foreign Language] [Interpreted] Yes, thank you. Let me take this question. So the first thing I would say is that this is very much connected to the scale that we have achieved in quick commerce that I just shared with you. We have a massive scale now of users on our quick commerce channel every day. Basically, we're talking about 150 million active users on a daily basis. And within those users, there are some who go to the store themselves to self-pickup. And that also includes group purchase using coupons. So from the perspective of satisfying the needs of our users and in particular, those who go offline in-store, there's a lot of synergy there. And so we will also consider providing more diverse services to these users. And in fact, we're already doing some testing and piloting in certain selected cities.
Operator: Your next question comes from Joyce Ju at Bank of America.
Kenneth Fong: [Foreign Language] [Interpreted] My first question has to do with the pace of investments going forward. You mentioned your commitment to the 3-year plan to invest RMB 380 billion in cloud and AI I'm wondering if you could also tell us about your investment plans going forward on the commerce side. On the consumption side, what will the pace of those investments look like and apart from investing in quick commerce, what other investments are you contemplating, for example, in supply chains or in users? And what will the pace of those investments look like? And then secondly, I'd like to ask about CMR. So we saw a strong growth in CMR this quarter, up 10% year-on-year. But we know that heading into September, the positive impact of the software service fee that you started implementing last year will diminish. So looking forward, how much positive impact will QZT penetration have on CMR growth. And beyond that, the incremental traffic and GMV being driven by quick commerce, how much positive impact will that have on CMR?
Hong Xu: [Foreign Language] [Interpreted] Thank you. Let me take this question. So given the historic opportunity to invest in the consumer market today, we're certainly grasping that. But our investments in the consumption market are not just starting now. We've always been making investments in the user side. Certainly, the Taobao and Tmall Group had been investing in users on the supply chain side, not just the Taobao and Tmall Group, but also Freshippo and other of our businesses, we're investing in the supply chains as well. So when we talk about this large investment that we're now making in the consumption market of RMB 50 billion for developing quick commerce. This is incremental. This is a new investment on top of those investments that we were making. We will pace the investment cadence and rhythm in line with the market circumstances and market developments to ensure that it makes sense. Thank you. So your second question had to do with CMR. And I think the key point there was the impact of take rate. So in this quarter, as we said, CMR growth was positive and robust. And this was mainly because of a large increase in take rate. And there were a few -- basically 2 major reasons for that. One was the 0.6% software service fee. And the other is QZT, which is itself powered by AI, continuing to achieve deeper penetration. And I think that in the coming quarters, we can expect to see also positive impacts on CMR from these aspects. At the same time, there will be positive impact on CMR from quick commerce as well, where we're driving user growth as well as higher user frequency, which will result in higher take rate. So we would expect that in the coming couple of quarters, you can expect to see relatively rapid growth in CMR as you are now seeing.
Operator: The next question comes from Yuan Liao from Citic.
Yuan Liao: [Foreign Language] [Interpreted] So we've been following very closely the developments of your models and looking at the Qwen3 block, what we see is that it marks a transition from an era where the focus is on training to one where it's all about agents, an agent-centered era. So my question is, what additional capabilities and resources or investments do we need in this transition period? And can you tell us a bit about some of your latest developments around agent products and agent applications?
Hong Xu: [Foreign Language] [Interpreted] Let me take that question. So indeed, we do see the overall evolution path when it comes to models, going from simple chatbots toward agents. And there are several trends that we can see in the era of agents. One, certainly is that models require larger context windows to be able to undertake more complex tasks with longer chains of thought. They need to be able to utilize multiple different tools or chains of tools and the agents need to be able to access different systems, call on different internal systems within the enterprises. So these developments also create new opportunities for us as an infrastructure provider. Many of these agents will need virtual servers or they'll need to have many browser windows open simultaneously or they'll need many mobile virtual machines and sandbox environments. So for a cloud vendor like Alibaba Cloud, these are all very positive developments. We're supporting numerous clients in numerous different sectors, and we can provide all of these with a new product called AgentBay, which is -- it provides a sandbox environment specifically for agents. So this is very much an agent-driven era in AI and cloud development. And for us, this is an excellent opportunity. Let me add to that by sharing some more of our thinking about models as they relate to agent-driven AI. I think the coding capabilities will become very important, because models with strong coding capabilities can be connected to lots of different tools, and lots of different enterprise internal systems. And in that way, they'll be able to solve for many tasks within the enterprise or even to solve for some more sophisticated tasks on the consumer side. Another point I should add with respect to agent agentic products is that we have quite a few products that can tie into that with they're excellent within the Alibaba ecosystem. For example, a lot of enterprises, especially e-commerce enterprises, need client service product within Alibaba Cloud apart from providing compute and infrastructure. We're also able to synergize with Taobao, with DingTalk, with Amap and even with Alipay in order to be able to provide more kinds of automated solutions at the business level. So through these tools, these enterprises can develop AI agents, that are better able to solve for these various tasks within the enterprise.
Operator: Your next question comes from Alex Yao, JPMorgan.
Alex C. Yao: [Foreign Language] I have a question coming back to quick commerce or Instant Commerce because it's not the first time that Alibaba has tried to enter this market. Back in -- from the acquisition of Ele.me back in 2018, lots of time, energy resources were spent on trying to grow our market share in that space, but it seems that over a period of 2 to 3 years, that original strategic intent really wasn't realized. So I asked DeepSeek why it is that Ele.me under Alibaba still couldn't beat Meituan and be bigger than Meituan. And what DeepSeek told me was that the son of the rich merchant can't beat the entrepreneurial wolf who was raised by a poor family. So anyway, it doesn't matter whether DeepSeek is right or wrong. But I'm sure that we've done a lot of reflection and thinking going into this new round in the battle. So I'm sure that you will be taking some different strategies or approaches to maximize success. But if you could tell us simply what's different this time? And what are the different tactics that we're taking?
Yongming Wu: [Foreign Language] [Interpreted] Well, I guess, you could ask DeepSeek again, but I'll take a stab at answering that. It's true that we invested. We acquired Ele.me and have been investing in it for many years. But I think I would begin by saying that Ele.me has actually made a lot of progress over these years. And that may not be reflected in market share because market share is related to our investment as well as our strategy as well as traffic. But I would say that over these years, Ele.me has made tremendous improvement in terms of infrastructure development and capabilities development. And if that weren't the case, then it simply wouldn't have been possible for Taobao Instant Commerce to have achieved such rapid development in such a short period of time. We couldn't start from 0 and build this business from scratch and in just 2 to 4 months be able to service 120 million orders and not just 120 million orders, but to do so with an excellent user experience. I think that all of that credit goes to Ele.me and the experience and capabilities that we've built up following that acquisition. To get this business right, you need to have enough merchants. You need to have enough fulfillment capacity or delivery capacity and you need to have enough consumers -- users on the consumer end. And if you're lacking in any one of those things, then your investment efficiency is going to be poor. So in terms of where we are today, following the integration of Ele.me into the Taobao app, we have a vast number of users on Taobao, and these are highly active users. We also have the merchant base that has been built up on Ele.me. And at the same time, we also have the fulfillment capacity, the logistics system that we have built up. So that's the foundation on which we're making this investment. And then the second thing I would say relates to our investment logic, the way we think about this because we're not simply looking at the quick commerce business on a stand-alone basis. We're really looking at what it can do, the overall incremental positive benefit it can provide for our overall e-commerce business in the short term, in the medium term and in the long term. So the logic and the way we're thinking about this is different from the past. And of course, for us to get this business right and succeed in all those goals, there's still a lot of work that we need to do.
Operator: Your next question comes from Gary Yu at Morgan Stanley.
Gary Yu: I have a question regarding return on invested capital. Given that we are now spending close to RMB 50 billion in probably a couple of months on quick commerce, how should we look at the rate of return on invested capital from these investments? Because I would imagine, if the same amount were to be spent on something on AI, maybe with much bigger TAM and much bigger faster growth in cloud, we may be able to see a much better return on investment. So how should we think about how we allocate capital internally between retail and AI investment going forward?
Hong Xu: [Foreign Language] [Interpreted] Well, as Eddie and I have both mentioned already on the call, we are faced with 2 huge historic opportunities today. The first of these is AI, which we've been discussing. But the second is consumption. And the opportunity is to transform consumption from -- on that journey from e-commerce to local -- hyperlocal e-commerce to instant commerce, and we absolutely need to firmly grasp both of those opportunities. They're both crucial. So in terms of our investment in both of those areas, of course, we're talking about a very substantial, very large investments. And from our own point of view, these are historic investments that we're making. As I said in my prepared remarks, be it from the perspective of our capabilities or our resources. And when I talk about resources, that could include our cash reserves as well as our cash flows as well as resources across our entire balance sheet. We have sufficient resources to be able to make these very substantial investments as Eddie said, investments at scale in both of these huge opportunities. So the key for us really is how to balance short-term versus long-term returns and where the priority should lie. And we can look at that in the context of our AI investments that we've been making. And I think you will also have seen very clearly already that these investments have already driven increase in the growth rate of our cloud business. As was just said earlier, that's not just for this quarter, but we expect the following few quarters to also see increase in the growth rate in cloud. So of course, we will also look at the business from the point of view of EBITDA margin. But our first priority at this point is on making these investments and not making profits -- the profit rate the higher of those 2 priorities. It doesn't mean that we're not looking at and we don't care about profit rates, of course. So in terms of AI investments and the investments in quick commerce. As Jianfeng just said, we're not yet making any money from those investments in Instant Commerce, but we can already see very clearly that with the integration of instant commerce into the Taobao app, that's driving increased traffic. It's driving increased frequency. And as a result of that, that's also driving increased advertising as well on the platform. So with the progression from e-commerce to Instant Commerce, all of these investments are going to drive good returns going forward. And I'm confident that we have sufficient resources to be able to do this and to remain focused on what is truly critical. I think it's important to note that we should not simply focus on short-term returns and by doing so, lose out on the opportunity to make those long-term returns. So this does require the proper balance.
Lydia Lu: Thank you, everyone, for joining us today. We appreciate your time, and we look forward to speaking with you again soon.
Operator: Thank you. That concludes our conference for today. You may now disconnect your lines. Thank you. [Portions of this transcript that are marked [Interpreted] were spoken by an interpreter present on the live call.]